Operator: Good morning and thank you for joining the National Fuel Gas Company Q4 Fiscal 2023 Earnings Conference Call. My name is Kate and I will be the moderator for today's call. All lines will be muted during the presentation portion of the call with an opportunity for questions and answers at the end. I would now like to turn the call over to your host, Brandon Haspett, director of Investor Relations. You may proceed.
Brandon Haspett: Thank you, Kate and good morning. We appreciate you joining us on today's conference call for a discussion of last evening's earnings release. with us on the call from National Fuel Gas Company, are Dave Bauer, president and Chief Executive Officer; Tim Silverstein, treasurer and Principal Financial Officer and Justin Loweth, president of Seneca Resources and National Fuel Midstream. At the end of the prepared remarks, we'll open the discussion to questions. The fourth quarter fiscal 2023 earnings release in November Investor Presentation have been posted on our Investor Relations website. We may refer to these materials during today's call. We'd like to remind you that today's teleconference will contain forward-looking statements. While national Fuel's expectations, beliefs and projections are made in good faith and are believed to have a reasonable basis, actual results may differ materially. These statements speak only as the date on which they're made and you may refer to last evening's earnings release for a listing of certain specific risk factors. With that, I'll turn it over to Dave Bauer.
David Bauer: Thank you, Brandon. Good morning, everyone. Fiscal '23 was a good year for National Fuel, both financially and operationally, and one that positions the company for growth in the years ahead. Seneca's production was up 9% over the last year, averaging over 1 Bcf per day net. cash operating costs continued to trend downward as we build scale at Seneca. Commodity prices were a headwind during the year, but our consistent approach to hedging mitigated a lot of the pricing impacts and protected a substantial portion of our earnings and cash flows. Earnings at our regulated businesses were down slightly due to cost inflation and the associated regulatory lag, but recent rate proceedings in all three jurisdictions should reverse that trend. Most importantly, we generated $275 million of free cash flow during the year, roughly in line with the nearly $300 million of combined free cash flow and proceeds from asset sales in fiscal '22. In addition to continuing our long history of returning significant and increasing amounts of capital to shareholders through our dividend, the free cash flow we've generated over the past two years has funded $150 million of bolt-on acquisitions in our Eastern development area, while at the same time contributing to a reduction in our absolute levels of debt. Given our deep and growing inventory of high returning locations in Tioga County; this past summer, we started a multi-year transition of Seneca's development program to focus more heavily on the EDA. While it's early, the transition is progressing smoothly. We just brought online a six-well Marcellus pad in Tioga County and expect to bring online in the first quarter a 13-well Marcellus pad in Lycoming County. Production rates, drilling and completion costs and the timing of the wells being brought online, have all been in line with or better than our expectations. Overall, we expect substantially higher productivity and IRRs in the EDA when compared to our WDA acreage. and with over 10 years of high-quality inventory in this area, we expect to see sustained improvement in long-term capital efficiency and free cash flow generation at Seneca and NFG Midstream. With this increased focus on the EDA, Seneca and our FERC pipeline businesses have been focused on developing additional outlets for Seneca's growing production in Tioga County. To that end, last month, Seneca executed a preceding agreement for 190,000 Dth per day of firm transportation capacity on supply's Tioga Pathway project. with an expected in-service date of late calendar 2026, this project will provide Seneca with access to markets connected to both TGP and Transco via its existing Leidy South capacity. From a facility standpoint, the project is a combination of new construction and the modernization of existing facilities with a total estimated cost of $90 million. We're currently working to develop the FERC application for the project and anticipate filing it by next fall. This is a great opportunity that diversifies Seneca's portfolio of takeaway capacity and improves its long-term ability to move to Iowa County volumes to higher value markets. Additionally, it provides a layer of long-term growth for our pipeline and storage segment above and beyond the near-term increase in revenues, we expect from the supply corp rate case we filed in July. that proceeding is moving along according to schedule and settlement discussion should commence by December. We have a history of settling for rate cases and are optimistic we'll do so with this case. We've also been active on the utility rate making side. Our $23 million rate increase in Pennsylvania was approved in June and new rates went into effect August 1st. While we saw a modest impact during the fourth quarter, we will see most of that increase reflected in the first and second quarters of fiscal '24 when customer consumption is the highest. Also, as a reminder, as part of this proceeding, we implemented a new weather normalization clause, which should help dampen the volatility in our fiscal '24 utility earnings. switching to New York, this past Tuesday, we filed a rate case in that jurisdiction that is our first since 2016. In it, we've asked for an $89 million annual increase effective October 1st, 2024. There are several drivers of the need for increased rates. First, as you know, we have modernization trackers that have allowed us to stay out of a rate case for the past several years, but the ability to add new investments to those trackers, sunsets on September 30th, 2024. further, continued wage inflation and the ongoing costs of complying with both new regulations and the state's Climate Act are also driving the need for this proposed rate increase. Other notable items from the filing include a proposal for a bad debt expense tracker and several initiatives aimed at implementing practical decarbonization solutions that leverage our reliable, resilient and affordable natural gas delivery system. A summary of the filing is included on page 35 of our updated IR deck. We'll have more to say next spring as we get through the early stages of the rate case and see testimony from commission staff and other interveners. In closing, the outlook for National Fuel remains strong. With our recent rate making activity, we expect to see significant earnings growth in our regulated businesses over the next two years. Looking beyond that, we expect growth from our Tioga Pathway project and from the ongoing modernization of our transmission, storage and distribution systems, which in addition to ensuring the safety and integrity of our operations, should drive annual rate-based growth of at least 5% in those businesses, which in turn should translate into earnings growth in the mid-to-high single digits over the next three years to five years. On the non-regulated side, the outlook for free cash flow generation is robust. As we move fully through the transition to the EDA and further high-grade our development program, we expect continued improvement in capital efficiency and returns. Combining this with the improving outlook for natural gas prices and our strong hedge portfolio that supports increasing price realizations, we expect significant cash growth and free cash flow, and earnings out of these businesses. From a value proposition standpoint, national Fuel is unique amongst our peers. We have clear line of sight to significant growth in our regulated earnings, and assuming the current natural gas strip, the potential for very meaningful earnings growth and free cash flow growth in our non-regulated subsidiaries, all of which positions us well to deliver significant value to our shareholders in the coming years. With that, I'll turn the call over to Justin.
Justin Loweth: Thanks, Dave and good morning, everyone. Fiscal '23 was a great year for both Seneca and NFG midstream, and sets up our Appalachian development program for continued success in the years ahead. Seneca registered another year of record net production averaging over one Bcfe per day, which combined with increasing third-party volumes drove record revenues at midstream. We also began our transition to an EDA-focused development plan, which is supported by continued strong well results in Tioga County and the integration of recent bolt-on acquisitions that further bolster our deep inventory of highly economic future development locations. Our integrated approach to development creates capital efficiency tailwinds with Seneca increasingly targeting its highest returning area and midstream leveraging its significant existing gathering trunk lines and centralized facilities. Starting with midstream, we achieved several notable milestones in fiscal '23, including record throughput and EBITDA. Throughput increased more than 8% to over 1.2 Bcf per day with third-party gathering volumes increasing nearly 20% over the prior year. EBITDA also increased 5% year-over-year to $186 million. Looking to fiscal '24, we expect this growth to continue as we focus on the ongoing coordinated infrastructure build-out with Seneca to support its shift to an EDA-weighted development program. Moving to Seneca's '23 results. we concluded the year with a strong fourth quarter producing 94 Bcfe. Our team delivered fiscal year production of 372 Bcfe, an increase of 6% year-over-year. These strong results included the impact of 6 Bcf of voluntary curtailments due to low in basin pricing. Seneca's reserves also grew to over 4.5 Tcfe as a fiscal year end with net additions and revisions of over 700 Bcfe represented an annual increase of 9% and an impressive nearly 200% reserve replacement. In addition to record production and reserves during fiscal '23, Seneca expanded its highly-economic EDA position. As previously announced, we closed on three separate largely contiguous acquisitions in the third quarter and in the fourth quarter, we added an additional 3,000 acres, the majority of which is held in fee. These transactions added 50 to 70 new development locations with high NRIs and significantly increased lateral links on over 20 existing development locations, at a time when much of the industry is facing core inventory exhaustion and moving to develop lower-tier acreage. We have meaningfully expanded our core inventory position and shifted our focus towards our highest returning areas, which will drive improving capital efficiency going forward. Looking to fiscal '24, our capital guidance remains unchanged at $525 million to $575 million, an expected decrease of 6% versus fiscal '23 capital expenditures at the midpoint of guidance. With respect to production, we are maintaining our guidance of 390 Bcfe to 410 Bcfe, up 7% at the midpoint relative to fiscal '23. We expect the cadence of development activity and capital spend will be weighted toward the first half of the year to bring new pads and flush production online during the winter months with 27 tills planned in Q1 and Q2. As a result, we expect relatively flat production in Q1 over the prior quarter with significant growth into Q2 production and then shallow declines throughout the back half of the year. Longer-term, Seneca's development plan remains unchanged. We expect to continue to focus our investments in the EDA and we'll target maintenance to low single-digit production growth. As we make this transition, beginning in fiscal '25, we expect that combined annual capital expenditures for Seneca and midstream will be $50 million to $150 million below fiscal '23 levels. Turning to our marketing and hedging plans. we expect continued price volatility in the near term and have positioned our portfolio accordingly. In fiscal '24, we have downside pricing protection for approximately 70% of our expected production through a combination of swaps, costless scholars and fixed price firm sales. In addition, we have takeaway capacity through firm transport and firm sales for nearly 90% of expected '24 production. Our longer-term marketing efforts are focused on basis protection and we will look to mitigate basis risk while working to capture the upside, we anticipated natural gas pricing based on the forward curve and market fundamentals. We also continue to evaluate additional takeaway capacity to support our development plans. this quarter, we made significant headway on that front. As Dave said, we committed to the 190 million a day Tioga Pathway project, which will transport growing Tioga County production into more favorable markets on Tennessee and directly into our Leidy South capacity. This project has a target in-service date of late calendar 2026. Moving to safety and sustainability. I would like to highlight some impressive achievements. As described in our corporate responsibility report, which we released in September. Seneca and midstream have achieved 27% and 14% reductions respectively in methane intensity as compared to the 2020 baseline. Additionally, in August, Seneca was recertified under the MiQ Standard for methane emissions performance with an A grade, the highest certification level available. Similarly, in September, midstream retained certification on 100% of its assets under equitable origins EO100 standard, making it the first natural gas gathering entity to attain certification under this process. also, in fiscal '23 midstream and Seneca each completed another year with zero-dart injuries, a multi-year streak, we will work hard to continue. these achievements collectively demonstrate our focus on safety and continuous improvement in the sustainability of our operations. In conclusion, Seneca and NFG midstream are well positioned for continued success in the years ahead. Our long-term development plan prioritizes returns, capital efficiency and increasing free cash flow generation, and is supported by a strong portfolio of takeaway capacity and a deep inventory of EDA and WDA development locations. We have the talent, the assets and the operational track record to continue to successfully execute while maintaining the highest standards for sustainability and safety. With that, I'll turn the call over to Tim.
Timothy Silverstein: Thanks, Justin and good morning, everyone. Last night, national Fuel reported fourth quarter adjusted operating results of $0.78 per share. The decrease in earnings compared to last year was largely driven by lower realized natural gas prices. for the quarter, NYMEX prices averaged $2.55 per MMBtu, compared to more than $8 in last year's fourth quarter. However, our hedge portfolio mitigated a significant portion of this price decrease. In addition to pricing, there are a few other items that I want to hit on with respect to our reported results and fiscal 2024 guidance. First, capital spending for fiscal 2023 came in slightly above the high end of our guidance range. breaking it down by segment, our upstream and gathering businesses came in right on top of the midpoint of the respective ranges. However, we finished the year above our spending guidance ranges for both of our regulated segments. Construction activity came in ahead of schedule in the fourth quarter. with rate cases on file in our New York Utility and supply corp subsidiary, and the availability of a system improvement tracking mechanism in our Pennsylvania utility, we've been working hard to ensure that our modernization program stays on track and the associated capital is placed in service as efficiently as possible. While this pushed us above our previous guidance range, it was important to get this plan in service in order to ensure that we are able to earn a timely return on these investments. Next, our DD&A rate of $0.65 per Mcfe for the fiscal year was above the high end of our guidance range. This was driven principally by our ongoing transition towards an EDA-focused development program, where well productivity and returns are superior to our Western development area. Despite this return profile, these wells tend to carry a higher F&D cost than those in the WDA. In addition, we added 40 approved undeveloped locations to our reserves this year, totaling in excess of 500 Bcfe. These reserve ads were more than previously projected, which is a positive indicator of the success we are seeing in the EDA. However, this does drive our DD&A rate up as those reserves initially carry a higher implied depletion rate until they are fully developed. together, these factors impacted the fourth quarter and are the main driver behind a projected increase in our fiscal 2024 DD&A rate. Despite this, Seneca's outlook for capital spending and free cash flow generation over the next few years remains unchanged. Switching to income taxes, earlier in the year, the IRS released long awaited guidance related to the treatment of certain capital expenditures to maintain and improve natural gas transmission and distribution property. We recorded an initial estimate of the impact of this guidance in our fourth quarter results. This provided a nice earnings tailwind during the quarter that will carry into future years. Looking specifically at fiscal 2024, we are estimating a 50-basis point reduction to our overall effective tax rate, which is now expected to be in the range of 25% to 25.5%. This updated IRS guidance is expected to provide a meaningful benefit to our cash taxes, which has been reflected in our revised free cash flow outlook for 2024. With these few changes incorporated into our fiscal 2024 projections, we have updated our earnings guidance to a range of $5.40 to $5.90 per share, which at the midpoint, represents a 9% increase in earnings, compared to fiscal 2023. Our NYMEX price assumption of $3.25 per MMBtu remains unchanged. and for reference, a $0.25 change in pricing would impact earnings per share by approximately $0.27. Additionally, with the tailwind on our expected cash tax rate in 2024, we are now expecting free cash flow to be approximately $200 million for the year, an increase of roughly 20% compared to our prior estimate. This expected level of free cash flow, more than covers our increasing dividend rate projected for the year and positions us well as we target significant free cash flow growth in the years that follow. from a balance sheet perspective, given where we exited fiscal 2023 and the outlook for 2024, we project our credit metrics to trend towards two times debt to EBITDA and in excess of 40% FFO to debt over the next 12 months. This gives us significant cushion relative to our existing downgrade thresholds and more importantly, would be very close to the upgrade thresholds established by the rating agencies. We also have adequate liquidity with no long-term debt maturities until mid-2025 and approximately, $700 million available under our committed credit facility, which does not mature until 2027. In conclusion, national Fuel is positioned to create meaningful value well into the future, whether it is additional organic growth opportunities such as the Tioga Pathway project, further highly strategic bolt-ons in our non-regulated segments or opportunities to rebalance our business mix by acquiring regulated assets at a fair price. we are focused on maintaining our track record of making strategic investments that deliver returns, well in excess of our cost to capital over the long-term. our ability to leverage a strong balance sheet and long-term outlook for free cash flow generation, provides us with the flexibility to pursue the best value-creating opportunities for our shareholders. With that, I'll ask the operator to open the line for questions.
Operator: [Operator Instructions] The first question will be from the line of Umang Choudhary with Goldman Sachs. Your line is now open.
Umang Choudhary: Hi. good morning and thank you for taking my questions. Let me start with the Tioga Pathway project, where you plan to add 190 MMcf per day of capacity coming online in 2026. Wanted to get a sense in terms of how you plan to -- what are your plans around the upstream segment? Do you plan to grow production to fill in the capacity and if any color you can provide in terms of potential uplift in netbacks through the project?
David Bauer: Sure. Good morning. Thanks for the question. So yes, this is all part of our longer-term kind of strategic growth plans in Tioga and creating additional takeaway capacity that'll allow for the growth that we have planned with -- if you look at our production rates today, over 1 Bcf a day net and a lot of that production will continue to shift. One, we intend to continue growing and then a lot of that production will shift to being coming out of Tioga. So, it's important for us to have access to diverse markets, and also, the best pricing we can get. The Tioga Pathway Project achieves both of those opportunities for us. So, we'll be able to move gas to markets, where we do anticipate getting an uplift relative to what we could sell into the markets that are available to us today, just right in Tioga. And then on top of that, it will allow for growth and diversification when we think about how much gas we'll be producing out of Tioga as we get out a couple three years from now and then continue that that development plan for many, many years beyond that.
Umang Choudhary: Helpful, thank you. And then would love your updated views around the M&A landscape and the broader macro. Any color you can provide there would be helpful. thank you.
David Bauer: Sure, happy to hit on that. obviously, there's been a tremendous amount of activity recently more really big transactions and certainly more generally speaking, Permian focused. Our view is that there could be additional M&A, but certainly, there's nothing that we don't see necessarily a wave kind of coming across Appalachia that would consolidate the industry. Perhaps at some point, that'll happen, but these other recent deals that we've seen, seem to be more focused and definitely, the Permian continues to be the area, where I think we'll continue to see the most M&A focus.
Umang Choudhary: Got you. Anything on the utility and the regulated side, where you see potential areas, which can be a focused area for the company longer-term, I guess.
Timothy Silverstein: Yes. I think over time, we'll see assets come on the market. As I've said on the past, our interest is in properties that would be nearest in proximity to us. It's a long-term business. So, we're going to stay focused on evaluating properties that come onto the market.
Umang Choudhary: Excellent. Thank you.
David Bauer: Yes.
Operator: Thank you. The next question will be from the line of Zach Parham with JPMorgan. Your line is now open.
Zach Parham: Yes. Thanks for taking my question. Tim, maybe just a follow-up for you on your prepared remarks just on cash taxes over the longer term. I think in the past, you've talked about high single digits in 2024. Is that still the case? And maybe, could you provide some thoughts on what longer-term cash taxes might look like?
Timothy Silverstein: Sure, Zach. Yes, I would say, where we sit right now, that high single-digit 10% area for 2024 still feels like the right number. The new repairs guidance may make that move around a little bit as we go through time. Longer term, over the next, say two or three years, I'd expect us to trend a bit ratably up to the low 20% area and then hold that run rate over the long term.
Zach Parham: Thanks. that's great color. And then Justin, maybe just one for you on the E&P business. Could you just give us an update on how things are going with your E-fleet, I know you added it around mid-year, maybe just any color on efficiency or cost gains you've seen thus far?
Justin Loweth: Sure, happy to. So, we're currently completing our third pad with the new E-fleet. It's gone very well and one of the things, I'm most happy to see is that we're achieving approximately 90% diesel displacement at this point out of that fleet, which is what we were hoping to do. That has an additional benefit, which is diesel prices are starting to move upward and our exposure to that is much more limited, than it would be if you're using a tier two, tier four fleet. So overall, positive and we're just prosecuting the development plan and intend to continue using it and able to use our own gathering system to provide the gas, which is a dual benefit.
Zach Parham: Thanks, guys.
Operator: Thank you. The next question will be from the line of John Abbott with Bank of America. Your line is now open.
John Abbott: Hey. thank you very much for taking our questions. So, this question may be for Tim here. It's on the utility rate case that was filed for New York and the $89 million increase that you're looking to obtain. When you sort of look at other, I mean, when you look at that number and you look at what other peer utilities have asked for within the state, what's your sort of competence on that sort of number?
Timothy Silverstein: Yes. John, it's a good question. I think, we're starting right now from a position of very low delivery rates. We're the lowest delivery rate company in New York State. All of the other utilities that have been in, they're facing the exact same cost pressures that we are seeing. So, while on the surface, it's a larger increase that the fact that we've stayed out of a rate case since 2016 and our delivery rates really haven't been unchanged since 2008 for the most part. I think, we're hopeful we get a good settlement that allows us to earn the returns and recover the costs that we have. But it's early on in the proceedings, I don't want to speak to exactly the direction of travel it'll take. but hopefully, that gives you some color
John Abbott: That does. And you just spoke to the trajectory of cash taxes. but that new tax rate guide of 25% to 25.5%, is there catch-up in that guide from 2023? And I guess, my question is, is that the applicable rate post-2024 or does it tick up towards the higher end of that range? How does that kind of work there, Tim?
Timothy Silverstein: Yes. So, there is no effective rate in impact of the catch-up. That all happens as a temporary difference from a tax perspective. So, that isn't driving it, it's largely driven by the nature of, of our Pennsylvania jurisdiction and how they treat repairs in this deduction specifically. So, I'd expect this effective tax rate ultimately to maintain relatively consistent levels but it will depend on the level of capital that we deploy in Pennsylvania and ultimately, how much of that is eligible for this deduction versus being capitalized from a tax perspective.
John Abbott: That was very helpful. Thank you for taking our questions.
Timothy Silverstein: You bet.
Operator: Thank you. [Operator Instructions] The next question will be from the line of Trafford Lamar with Raymond James. Your line is now open.
Trafford Lamar: Guys, I guess, my first one is probably for Justin. Justin, looking at the EDA, I was wondering if you could touch on maybe well productivity comparison between the Marcellus and the Utica and kind of how you all view the two targets from a planning and development standpoint, deciding which ones to drill?
Justin Loweth: Sure, Trafford. The well productivity, we see, is just higher deliverability out of the Utica. It's the pressures we have there are quite a bit higher. So, what we can achieve out of those wells are sustained rates that are $15 million to $20 million a day in sustaining those rates for many months. So, you get a lot of gas you hold, you hold pressure, so that you get a lot of gas at a sustained rate for quite a long period of time. And given the contiguous nature of our development, we're able to drill very long laterals, pretty much all of our laterals are north of 10,000 feet, probably the averages in the 11,000 foot to 13,000-foot TLL. The Marcellus wells are great. They don't have quite the pressures. The deliverability we have in Tioga is very good. What benefits those is, they're a little bit lower cost, they're lower pressure, they're a little shallower, so less money to drill. And the completion designs on those wells are a little bit less intense bringing the cost down. So, they're both excellent targets for us. from an economic perspective, we're happy to go to either one. And really, our development plan is guided by what makes the most sense collectively between Seneca and Midstream as we work to develop across that entire position. Ultimately, looking to deploy as few dollars as possible between the two entities and kind of marching through the acreage we have. And so that's what really will guide it. Both targets, Marcellus and Utica are excellent. So, we're going to keep working through all the inventory we have over the next many, many years.
Trafford Lamar: Perfect. Appreciate the color on that. And then one quick one on the two Bcf price-related curtailments. Was that largely via pipe maintenance, I'm assuming?
Justin Loweth: No. so, I'm not counting pipeline maintenance in that, that is purely, there were times in the last quarter, where gas prices were terrible, the in-basin gas pricing even below $1 and less. and there's times when prices are very low like that. we will voluntarily curtail. So, we maintain a small portion of our overall production that is exposed to in-basin pricing that's intentional. And so, like I spoke for '24, we have about 90% of our production that has access to firm transport or firm sales that leaves about 10% in there. And so, when I talk about that two Bs, what I'm really getting at is that layer that doesn't necessarily have a home if you will. if we see prices that are extremely depressed, call it, below $1 or in that vicinity. we choose not to sell that gas and we will simply curtail the well, choke the wells back, shut them in for a period of time and then wait for better pricing like we're starting to see now as we start to see the beginnings of winter and find that to be a far better economic answer for our company.
Trafford Lamar: Perfect. Appreciate that. Thank you.
Operator: Thank you. At this time, there are no further questions in the queue. So, I will turn the call back over to Brandon for final remarks.
Brandon Haspett: Thank you, Kate. We'd like to thank everyone for taking the time to be with us today. A replay of this call will be available this afternoon on both our website and by telephone, and we'll run through the close of business on Thursday, November 9th. To access the replay online, please visit our Investor Relations website at investor.nationalfuelgas.com and to access by telephone call 1-866-813-9403, provide access code 693074. This concludes our conference call for today. Thank you and goodbye.
Operator: That concludes today's conference call. Thank you all for your participation. You may now disconnect your lines.